Operator: Hello, and welcome to the Brink's Company Second Quarter 2023 Earnings Call. This morning Brink's issued a press release detailing its second quarter 2023 results. The company also filed an 8-K that includes the release and the slides that will be used in today's call. The release and slides are available in the Investor Relations' section of the company's website at investors.Brinks.com. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded and will be available for replay. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences are available in the footnotes of today's press release and in the company's most recent SEC filings.  Information presented and discussed on this call is representative of today only. Brink's assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink's. I will now turn the call over to your host, Jesse Jenkins, Vice President of Investor Relations, Mr. Jenkins you may begin.
Jesse Jenkins: Thanks and good morning. Joining me today are Brink’s CEO, Mark Eubanks, and CFO, Kurt McMaken. This morning we reported second quarter 2023 results on a GAAP, non-GAAP and constant-currency basis. Most of our comments today will be focused on our non-GAAP results, because we believe these results make it easier for investors to assess operating performance between periods. Reconciliations of non-GAAP results to their most comparable GAAP results are provided in the press release, the appendix of the presentation, and in this morning's 8-K filing. I'll now turn the call over to Brink's CEO, Mark Eubanks.
Mark Eubanks: Thanks Jesse and good morning everyone. Thanks for joining us. Starting on slide three, we delivered record revenue and operating profit in the second quarter. Total revenue was up 7%, including organic growth of 8%.  Our cash and valuables management business grew organically by 5%, and the ATM Managed Services and Digital Retail Solutions customer offerings were up 19% organically. Operating profit was up 6% in total, and 13% organically for a margin of 10.8%.  Adjusted EBITDA of $194 million was up 4% with a margin of 16%. Cash generation remains a key focal point of the business, and I'm pleased to report an improvement of 233% or $115 million in free cash flow year-to-date, as we made meaningful progress this quarter towards our cash conversion target for the year. Looking at the performance drivers, we remain vigilant in our pricing efforts in our cash and valuables management business, and delivered another quarter of strong price realization in excess of inflation across all of our segments.  With inflation down from a year ago in most of our markets, pricing growth has moderated from the highs we saw in the previous periods, but remains a key part of our plans going forward as we drill down to a more strategic approach to pricing.  The strategic growth engines of AMS and DRS continue to bolster our results, with 44% growth year-to-date, and positive momentum in the back half, with good customer interest creating actionable pipelines.  Our increased focus on free cash flow at the local level has generated strong results, as we've ingrained these cash discussions into our normal operations with our country leaders, and are starting to make real progress on cash conversion. As a reminder, 2023 was the first year we've added free cash flow targets to our annual management incentive plan, which applies to the roughly top 200 global leaders across Brink's.  Working capital improvements, along with the EBITDA growth, has generated $115 million more cash than this time last year, well on our way to delivering the approximate $150 million year-on-year improvement that we laid out with our full-year guidance.  On the operating margin side, we continue to drive costs out of our business, with the rigorous implementation of lien through the Brink’s business system, the execution of our 2022 global restructuring plans, and the revenue mix benefits of AMS and DRS growth.  These gains were offset by a $12 million year-on-year increase in security losses, primarily from a single event in our global services line of business. Kurt will have more on the loss and its impact later in the presentation. But these large losses can be lumpy in nature quarter-to-quarter, but due to the way that we budget and the way that we manage risk, we do not expect this loss to have an impact on our full-year guidance.  Now, halfway through the year, we remain firmly on our plan and have affirmed the full-year guidance for revenue and free cash flow, and affirmed the guidance that we increased last quarter for operating profit, adjusted EBITDA, and earnings per share.  Turning to slide four, I'd like to provide a few more details on the customer offerings that are driving our performance. The cash and valuables management line of our business grew 5% organically in the quarter. We remain focused on managing inflation in the business and are seeing positive results in our pricing initiatives.  As expected, pricing growth is moderating to more historic levels from the peaks that we saw last year in several of our key markets as we lapped historically high inflation coming out of COVID last year. We continue to see pricing opportunities across all services as we deliver a more consistent customer experience and shift our offerings to provide more additional value-added services.  The Brink’s business system is our framework for business excellence and operational improvements across all areas of the business. Commercially, we're focused on improving our customer experience with an increasing value proposition related to cash payment efficiency, accurate reconciliations, and working capital transparency. We're developing solutions for a broader set of customers by reducing our cost to serve while driving service and quality improvements.  On the cost side of our business, we're driving meaningful productivity. By leveraging best practices, we've been able to drive efficiencies in labor management and fleet utilization in all of our segments. The results of our efforts are translating to the numbers, with year-to-date operating margins in North America improving by 190 basis points. European margins improved by 90 basis points, and our rest of world segment improved by 110 basis points. I'm encouraged by the progress, but I'm confident that we're just scratching the surface on the potential we have for efficiency gains as we share best practices from the top performers across the globe within our business.  Let's discuss some of the visible improvements specifically in our North American segment, resulting from the Brink’s business system. Year-to-date service metrics have improved to roughly 98% on-time delivery and our quality and accuracy metrics which is measured by our customer SLAs have improved greater than 30% versus year-end 2022.  Both service and quality improvements across the year are being recognized by the market as we complete our mid-year discussions and hear from our top customers. We also continue to make meaningful progress in employee relations as we focus on the health and safety of all Brink’s colleagues.  In the area of safety, we see a greater than 25% improvement in our recordable incident rate and we're also seeing a continued reduction in frontline turnover. Our North America human resources team has done a great job understanding all of the drivers of employee turnover and have recently improved our training and interviewing procedures for our leaders, to ensure that we're onboarding the right employees and training them effectively for their job. With longer tenured employees, safety, customer service, quality and efficiency metrics continue to improve.  Now turning to Digital Retail Solutions and ATM managed services. We delivered 25% organic growth and 44% total growth year-to-date. On a trailing 12-month basis, we now have 19% of our total revenue represented by these higher growth, higher margin businesses, up from 18% last quarter and 16% at the end of 2022.  The conversion is also helping our impressive cash flow conversion where we see meaningful DSO improvement, particularly in Europe, driven partially by the DRS, AMS revenue growth we've seen across the segment.  In DRS, our sales team is gaining momentum and customers are responding to our solutions-based sales approach. In the U.S., June was the best month that we've had this year for DRS contract bookings and that momentum has carried into the early part of the third quarter.  As we continue to improve our operating cadence around DRS, we've increased our focus on shortening the period from contract signing to installation and the associated revenue recognition that comes with those agreements. This is a natural extension of our focus on customer loyalty as we work closely through the sales and onboarding process to collaboratively set rollout plans that align with our customer expectations.  We continue to see demand for DRS across a wide range of retail verticals. In addition to the success in the Quick Serve Restaurant vertical I mentioned last quarter, in Q2 we closed several significant deals, representing hundreds of locations each. These customers were represented by a large arts and craft retailer, a publicly traded entertainment company, and a large multinational fashion retailer in Mexico. We continue to find success with our DRS offerings in these new verticals by targeting individual customers with application-specific value propositions.  In AMS, we've completed the rollout of the BPCE network in France at the end of 2022. Recently, we signed two additional banks that will leverage the same infrastructure. We're currently in the project planning phases and expect to have these two networks online and integrated by the end of 2024.  The team is working on optimizing routes around the new locations and integrating the new endpoints into our technology stack and workflows. We also continue to make progress integrating the capabilities of note machine into the broader business, but particularly in Europe.  Having already developed the infrastructure and logistical footprint needed for a holistic AMS experience, we remain uniquely positioned to help our customers reduce their cost of ATM ownership. We're engaging with many financial institutions and independent ATM operators around the world who are interested in the AMS offering, as well as our expertise in the area.  We recently added two additional banks to our AMS portfolio in Jordan and have initiated several new customer pilots in Latin America, as well as continue to work a robust global pipeline of AMS deals in all segments.  Turning to slide five and starting on the left, total revenue was up 7%. The organic growth of 8% I mentioned earlier was supplemented by 3% growth from acquisitions, primarily from the note machine acquisition in Europe we completed in Q4 of last year. And currency translation was a 4% headwind in the period.  Looking at the segments, we drove continued AMS DRS growth in Europe and delivered 21% organic growth across the Latin America region. In North America, revenue was slightly down due to lapping of prior year equipment sale to a large DRS enterprise customer, as well as the continued optimization of our customer portfolio profitability. These results were in line with our expectations and with good progress on DRS and another 90 basis points of margin expansion in the segment, we remain confident in our outlook for the year.  The reported operating profit was $132 million with a margin of 10.8% and adjusted EBITDA was $194 million with a margin of 16%. Excluding the timing related impact of the security losses from the reported numbers, we would have generated a $20 million increase in both operating profit and EBITDA year-on-year, with operating margin expansion of 90 basis points and EBITDA expansion of 60 basis points.  As I previously mentioned, the margin expansion was driven by strong productivity, the execution of our restructuring actions, and the revenue mix benefits as we shift to higher margin AMS and DRS revenue. The Brink’s business system continues to deliver results and consistency across our commercial, operations and technology organizations.  Earnings per share results include increased interest expense from higher year-on-year rates of our floating rate debt and would have been up an additional $0.02 versus 2022, excluding the impact of the one-time security loss.  The growth in profits as well as the working capital lifts are driving improved cash conversion with adjusted EBITDA to free cash flow conversion up to 53% in the quarter. Despite the impact of the one-time revenue items in North America and the increased security losses in the period, we remain firmly on our plans for the year and continue to build momentum with DRS and AMS volume and 120 basis points of profit margin expansion versus last year. I remain encouraged by our progress and excited about the future as we shape the business around these two accretive services.  I'll now hand it over to Kurt, who will lead us through the revenue, operating profit, EBITDA and EPS bridge, in addition to providing some more details on our strong free cash flow performance, as well as our capital allocation plans. I'll return with guidance and a few closing comments. Kurt. 
Kurt McMaken : Thanks Mark. Beginning on slide six, revenue is up $122 million or 11% on a constant currency basis, primarily from 8% organic growth, which benefited from AMS and DRS organic growth of 19% and price realization across all segments.  We achieved record revenues in the quarter, highlighted by 21% organic growth in Latin America and strong AMS, DRS growth in Europe. As Mark mentioned, North America revenue was down 1% organically, which was in line with our expectations. The decline was driven by the impact of one-time items in the period, primarily from equipment sales in the prior period related to onboarding a large DRS enterprise customer.  The decline also included the continued rationalization of our customer portfolio to optimize profitability. We remain confident in our progress in North America, supported by the strong DRS sales pipeline Mark mentioned earlier, and the 90 basis points of margin expansion we delivered in the quarter.  Acquisitions added 3% to total company revenue and FX translation was a headwind of $40 million or 4% versus the prior year, primarily due to the Argentine peso. Reported revenue was $1.2 billion, up 7% versus last year.  Second quarter operating profit and constant currency was up $22 million or 18% versus last year, primarily from organic growth of 13%. Organic profit growth across each of our segments was driven by profitable growth and higher margin lines of business, disciplined pricing that offset inflation, cost productivity leveraging the Brink’s business system, and the execution of our 2022 global restructuring plans.  Segment profit growth was partly offset by $6 million and higher unallocated corporate expenses, including a $12 million increase in security losses, primarily stemming from a large loss event in our global services line of business.  As part of our normal budgeting process, we analyze years of historical information to create an estimate for the upcoming year that we budget to occur evenly over the course of the year. As we saw in the second quarter, occasionally large losses occur that extend beyond our budget and discrete quarters. Due to the way that we manage risk, we see the second quarter increase as a timing matter that is not expected to have an impact on our full year profit guidance.  Excluding the impact of security losses, unallocated corporate expenses were down by $7 million, and our organic incremental margins were approximately 33%. Acquisitions added another 5% to operating profit, and foreign exchange was a 12% headwind, resulting in reported total operating profit of $132 million, up 6% versus last year.  Next, we will turn to EBITDA and EPS on slide seven. Starting with our operating profit and walking left to right, second quarter interest expense was $51 million, up $19 million versus last year, primarily due to increased rates year-over-year as well as increased debt from the NoteMachine acquisition.  Tax expense was $25 million, $4 million lower than last year from lower profit before taxes in the quarter. As a result of tax planning actions, we were able to lower our forecasted 2023 effective tax rate by 100 basis points to 30%, 30 basis points lower than last year's rate.  In total, $132 million of operating profit less interest expense, taxes and non-controlling interest and other generated $56 million of income from continuing operations, which generated $1.18 of earnings per share. Excluding the impact of the $12 million increase in security losses, EPS would have been $1.36 per share. Depreciation and amortization were $54 million, up $6 million versus the prior year, due primarily to the NoteMachine acquisition. As discussed, interest and taxes were $51 million and $25 million respectively. Non-cash stock-based compensation expense and other were $9 million, down $5 million versus last year. The reduction was in line with expectations, and the $9 million run rate is roughly the expectation for the remaining quarters of the year.  Second quarter adjusted EBITDA of $194 million was up $8 million versus last year, primarily due to the flow-through of higher operating profit.  Now, turning to slide eight, I'd like to spend a few minutes on capital allocation. I'll start with a few highlights on free cash flow on the left-hand side of the slide. Year-to-date, we have generated $66 million of free cash flow, representing $115 million increase over last year, and a significant portion of the $147 million increase we're targeting for the full year, at the midpoint of our guidance.  The year-to-date increase was primarily from adjusted EBITDA growth and sustainable working capital improvements. The working capital result was driven by DSO improvements across the business, including continued accounts receivable recovery in Mexico, where our teams continue to make solid progress following last year's regulatory change to invoicing requirements.  We're also starting to see working capital benefits from our shift to subscription-based DRS AMS offerings. Adjusted EBITDA and working capital improvements were partly offset by higher cash interest, primarily due to higher variable interest on our floating rate debt, as well as a one-time payment for the previously discussed security loss. As a reminder, our floating rate debt makes up about 40% of our total debt.  Looking at our capital allocation priorities, our first priority remains organic investments in our business. We continue to make investments in the business that will drive growth, and as Mark discussed in detail, we're driving productivity gains through investments in the Brink’s business system. These investments will largely be OpEx related and managed within our operating profit and EBITDA guidance.  Turning to leverage, our second quarter leverage ratio remained at 3.2x. We're firmly on track to achieve our targeted leverage of between 2x and 3x by year-end.  In capital returns, we have $180 million in remaining capacity on our existing share repurchase plan after purchasing approximately $18 million of shares year-to-date through June 30. Coming up, the strong free cash flow performance, we saw year-to-date, and with better visibility into performance in the back half of the year, we expect to accelerate share repurchases in the third quarter and beyond.  We remain focused on the capital allocation priorities in our business that drive profitable growth and compound cash generation and ultimately return excess cash to our shareholders. I'm encouraged by our start to the year and look forward to continued growth, margin expansion and cash generation in the back half of the year.  Now, I'll hand it back over to Mark to discuss guidance. 
Mark Eubanks : Thanks, Kurt. The table on the left provides a summary of our affirmed full-year guidance. We're off to a strong start so far in 2023 and on track to achieve revenue growth of 6% to 9%, driven by organic growth of 7% to 11%. We expect AMS DRS revenue to make up approximately 20% of our base by year-end.  We also expect operating profit and adjusted EBITDA to grow by approximately $100 million each, with margin expansion of approximately 120 basis points and 90 basis points respectively.  Free cash flow is expected to improve by approximately $150 million year-on-year to $350 million at the midpoint. With year-to-date improvement of $115 million in the first six months, we're well on our way to achieving this step change in cash conversion for the business.  Earnings per share is still expected between $6.45 and $7.15 per share with 14% growth, approximately double the rate of our revenue growth. Given our strong performance in the first half and with line of sight to our leverage targets and accelerating free cash flow conversion, we plan to increase share repurchase activity starting in the third quarter as Kurt mentioned.  I'm pleased with our performance to this point and we remain on track with our full year expectations. Our AMS and DRS growth strategy, underpinned by improving operating productivity through the Brink’s business system, is generating margin expansion and compounding free cash flow.  Through the hard work of our teams, we've made meaningful progress in these areas and continue to gain momentum for the future. I'm confident these sustainable improvements in the business will drive meaningful shareholder value as we move forward in the year and beyond.  Now, let's open up for questions. Operator. 
Operator: [Operator Instructions]. At this time, we will take our first question, which will come from George Tong with Goldman Sachs. Please go ahead.
George Tong : Hi. Thanks. Good morning. Cash and valuables grew 5%... 
Mark Eubanks: Hey George, good morning. 
George Tong : Hi. So cash and valuables grew 5% organically this quarter. What's a reasonable and sustainable rate of growth in this business and how did that growth break down into pricing and volumes? 
Mark Eubanks: Yes George, as we talked about before, we can look back and sort of demonstrate this over the last 10, 12 years of continued mid-single digit growth, and we expect that to continue in both the same framework of sort of a 50/50 price to volume as we think about that over time. As we talked about last year during this COVID recovery cycle and high inflation, we were closer to 60/40, more price to volume. But see that continuing to moderate, and I think you saw it in the quarter, we talked about it last quarter that looking forward, we thought pricing would moderate coming out of that unusual inflation period. 
George Tong : Got it. That's helpful. And then secondly, your DRS and AMS business combined grew a strong 19% organically in terms of mix with 19% of total trailing 12-month revenue. Can you elaborate on how DRS and AMS individually are performing? I’m basically trying to see if both are approximately equally contributing to the growth and mix or if one has more of an impact than the other? 
Mark Eubanks: Sure. George, we don't explicitly disclose those separately, but they are largely in line with each other. They are both contributing. They are both similar – of similar scale, and so we continue to see the organic piece of that continuing. Obviously a little bit of extra inorganic growth from the NoteMachine acquisition we closed last year in Q4.  We also though, as we think about the customer's acquisition and the sales, a lot of times these AMS contracts could be larger, so they could be lumpier, just like you would see with the BPCE contract we brought on at the end of last year fully, where AMS might be a smoother ramp, let's say. But both are continuing to grow, and both are not only contributing with new customers, but also converting customers that we already have from a traditional CIT solution to a DRS solution or a traditional ATM replenishment to an ATM managed services agreement. 
George Tong : Got it. Very helpful. Thank you. 
Mark Eubanks: Great. Thanks, George. 
Operator: And our next question will come from Tobey Sommer with Truist Securities. Please go ahead. 
Tobey Sommer: Thanks. I was wondering if you could give us a little bit more color on the win in progress in the French market in AMS and how your existing customer and the new customers, how that's going to function? 
Mark Eubanks : Sure. Good morning, Toby. This is Mark. So the way that these contracts go, we are taking on basically their ATM network and responsibility for operating their ATM network. And that's everything from monitoring to dispatch, and dispatch of both first and second line maintenance, as well as cash replenishment.  And so as we bring on new customers and their networks, we are able to leverage all of the workflow, tech stack that we've developed and invest it in to build out the infrastructure to maintain. That also includes the ability to optimize our logistics network in a more optimized way around these new locations. And so that's really, there's not a whole lot of interaction between the customers themselves. It's more us leveraging the investments in both technology and infrastructure that we've built. 
Tobey Sommer: Okay. Thank you. I had a question about your incremental margin comment. I think you said it was in the 30s if you exclude the security loss. Is that a good framework or is the quarterly performance ex the security loss, sort of higher or lower than you would expect over time? 
Mark Eubanks: Yes, I'd say it's about right Tobey. And that's – it’s largely in line with what we had expected and where we're seeing the improvements in the business that we're driving, not only from the restructuring that we've talked about explicitly, but also the ongoing performance, both commercially and operationally.  First on price, you know, not just on inflationary pricing, but price optimization and strategic pricing we're doing across the portfolio to make sure that – we've talked about this in the past where, we've got some large disparity with common customers that we're making sure that we're driving a consistent pricing and equivalent to our value proposition.  On the operational side, this is really the Brink’s business system continuing to drive productivity, and putting a wrapper and a name around a program doesn't do that. Its people, its process, and it's continuing to have discipline around standard work and being able to deploy that standard work from branch-to-branch, from country-to-country, and region-to-region. 
Kurt McMaken : Yes. Hey Toby, it's Kurt. I was going to add on to Mark's comment. I mean traditionally, I think you'd see the business, somewhere between 25% and 28% incremental basis if you want to look at it that way. And to Mark's point, we're really working to try to march that upward.  Obviously, it can shift a little bit depending on mix of business, both geography and line of business, but that's exactly right. You know, we think that what we're trying to do between pricing and Brink’s business system operational improvements is continue to march that incremental rate up towards 30 and lower 30s. 
Mark Eubanks: Yes. And I'd say that the, maybe it ties back to the question a little bit Tobey on the AMS side. Once we have a network deployed and we've made the initial investments around workflow integrations, technology deployment, and software, then the incremental adds additional on to the network are very similar to, let's say the traditional CIT kind of marginal cost adds as we think about adding customers next door to each other. Density matters, and it matters again across the technology stack as well. And we would expect frankly, that to continue to progress certainly with volume, as we leverage the seasonality, as we think about volume into from first half to second half. 
Tobey Sommer: Thanks. And I wanted to get your perspective. You came out with your cash flow guidance and focused on that improving spread out, some incentive compensation within the organization, but you've now been in the throes of working in that direction for a while. So I'm wondering if you've had new ideas and processes that can kind of further your goals that have percolated up from the 200 people who now have skin in the game and are working towards that goal. 
Kurt McMaken : Yes. Toby, its Kurt. Let me just try to address that. I mean, we are seeing a lot of good traction with what's coming up through the organization in terms of additional ideas around driving cash flow. So number one, we've talked about in the past is also just their understanding, the importance of the DRS AMS mix and how that actually improves the cash flow profile of the business.  And because they tend to be recurring revenue contracts and because those contracts tend to have much shorter payment terms on them, that's really resonated, and so that is an additional driver to the growth of those and improves cash flow. But I would say there's also more ideas just coming up throughout the balance sheet. So we mentioned accounts receivable, but we're also seeing it on the payable side. We're seeing it in other areas of the balance sheet coming up from the business.  So look, the awareness and the focus on it is just getting people more aware of what really drives it. And then the final thing I'd say is, the reality is that a lot of what gets into success around accounts receivable is just being rigorous around it and the discipline around it and just working it day in and day out and staying on top of it. And we've definitely seen that in the business increase. 
Tobey Sommer: Thank you very much. 
Operator: And that concludes our question-and-answer session. 
Mark Eubanks: Great. Thanks for joining us today everyone. We appreciate your support and look forward to speaking to all of you on our next earnings call in early November. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.